Operator: Good morning, everyone. And welcome to the Travelzoo Third Quarter 2016 Financial Results Conference Call. At this time, all participants have been placed in a listen-only mode. And the floor will be open for questions following the presentation. Today’s call is being recorded. Before introducing you to your host and beginning with the Company’s presentation, the Company would like to remind you that all statements made during this conference call and presented in the Company’s slides that are not statements of historical facts, constitute forward-looking statements, and are made pursuant to the Safe Harbor provisions of the Private Securities Litigation Reform Act of 1995. Actual results could vary materially from those contained in the forward-looking statements. Factors that could cause actual results to differ materially from those in the forward-looking statements are described in the Company’s Forms 10-K and 10-Q, and other periodic filings with the SEC. Unless required by law, the Company undertakes no obligation to update publicly any forward-looking statements, whether as a result of new information, future events, or otherwise. Please note that this call is being webcast from the Company’s Investor Relations Web site at www.travelzoo.com/earnings. Please refer to the Company’s Web site for important information, including the Company’s earnings press release, issued earlier this morning along with the slides that accompany today’s prepared remarks. An archive recording of this conference call will be available on the Travelzoo Investor Relations Web site at www.travelzoo.com/ir, beginning approximately 90-minutes the call has completed. Now, it is my pleasure to turn the floor over to your host, Holger Bartel, Travelzoo’s Chairman and Global CEO. Sir, you may begin.
Holger Bartel: Thank you, Operator. Good morning, and thank you for joining us for today’s Travelzoo third quarter 2016 financial results conference call. I am Holger Bartel, Chairman and Global and CEO of Travelzoo and joining me today is Glen Ceremony, the Company’s Chief Financial Officer. Glen will walk you through today’s format.
Glen Ceremony: Thank you, Holger, and everyone for joining us today. For the format of today’s call, I will review our third quarter financial results and then Holger will provide an update on our strategy. Thereafter, we will open the call for our question-and-answer session. Now, please open our management presentation, which is available on our Investor Relations Web site at www.travelzoo.com/earnings, to follow along with our prepared remarks. Slide three provides the key financial highlights for the quarter. Our revenue for the quarter was $30.4 million, down 10% year-over-year, or down by 7% in constant currencies. Our non-GAAP earnings per share this quarter was $0.12, which is $0.09 higher than the prior-year period. Our members grew to over 29.1 million and our social media followers and mobile app downloads continue to increase. Slide four highlights our revenue by segment. Revenue in North America was $19.1 million, representing a year-over-year decrease of 8%. Revenue in Europe was $8.8 million representing a year-over-year constant currency decrease of 5% and the Asia Pacific revenue was $2.6 million, representing a year-over-year constant currency decrease of 10%. The next few slides cover further detail of our revenue for each of our three segments. Slide five shows North America year-over-year revenue decreased by $1.6 million, $600,000 was due to lower voucher sales for local as we have focused our business on the most attractive markets. And $500,000 was due to travel, primarily due to the elimination of unprofitable business activities offset by growth in revenue from hotels. The remaining $500,000 of the decline was due to lower search revenues from our pull-back on the search traffic acquisition spend. Turning to slide six, there was $948,000 negative FX impact on Europe revenue. Europe year-over-year revenue on a constant currency basis shows that overall Europe revenues decreased by 5%. The constant currency decrease of approximately $500,000 was primarily due to lower search revenue from less search traffic acquisition spends. On slide seven, Asia-Pacific year-over-year revenue decreased by approximately $300,000, as we made changes to our sales organizations in various countries and had fewer staff. Slide eight provides the breakdown of our operating income. We had $2.2 million in overall operating income. North America generated $1.4 million and Europe generated $1.6 million of operating income, which both, more the doubled year-over-year. Asia-Pacific recorded an operating loss of $800,000, which increased year-over-year due to our plan to increase member acquisition spends. Despite lower revenue, net income increased year-over-year as we operated smarter. Slide nine shows the cost of revenue and operating margin. The cost of revenue as a percent of revenue was down year-over-year due to lower syndication revenue and voucher sales. Our operating margin percentage increased year-over-year as we gain more operating efficiencies. Slide 10, demonstrates our progress on managing costs. Operating expenses in both North America and Europe declined year-over-year. The increase in Asia-Pacific’s year-over-year cost was due to the planned increase in member acquisition spends. Slide 11 shows that our productivity was up year-over-year with a sequential decline due to seasonally and lower revenues. Moving on to Slide 12, DSO was relatively flat year-over-year as expected. We repurchased 582,000 of our stock, exiting the quarter with a solid in cash position of $24.8 million, of which $13.5 million was held outside of the U.S. Turning to Slide 13. In summary, the majority of our revenue declines were driven by planned reductions in local search and syndication revenues, as well as an increasing negative FX impact. We saw improvements in profitability as our operating costs have come down driven by our continued focus on operating smarter and eliminating business activities that were not profitable. And we exited the quarter with solid cash position after continuing to repurchase stock. Looking forward to our fourth quarter of 2016, we expect the following. We expect the recent year-over-year percentage rate declines in revenue that we have experienced over the last several quarters to persist. This is due to the transition of our products that is still underway, including declines and getaways local and search, as well as the elimination of certain unprofitable travel business activities. Overall, we expect the fourth quarter to be seasonally lower than the other quarters of the fiscal year; we expect the year-over-year percentage rate of declines in total revenue to be larger than Q3 due to the expected increased negative FX impact on our European revenue; and due to an expected sequential decline in search revenue; estimated to be $1 million to $1.5 million as we plan to reduce traffic acquisition spend; as well as our new responsive Web site; is expected to shift revenues away from SuperSearch. Holger will talk more about this in a moment. We expect to continue member acquisition spend at the increased levels of 2015. We plan to increase investments in our Asia-Pacific segment, in particular in China, which will reduce year-over-year EPS by approximately $0.04. We expect an additional approximate $1 million of non-recurring expenses in Q4 for various initiatives, including, for example, annual meetings of all staff, which will be held in North America and Europe during the fourth quarter. In summary, given the strengths and investments, we expect to generate lower revenue and operating income year-over-year and quarter-over-quarter. However, we are continuing to take steps to control non-investment area costs, and are focused on increasing the productivity of our resources. This concludes the financial summary of our third quarter of 2016. Now, Holger, will provide you an update on Travelzoo’s strategy.
Holger Bartel: Please turn to slide 15. Our growth strategy continues to be built on two pillars. On one hand, we are looking to grow our audience. Together with our Asia-Pacific business, we now have over 29 million members worldwide, and that base continues to grow. At the same time, we are working to enhance our products to serve our users better. We not only want them to receive deals from us by e-mail and social media, but we also want to help them when they are actively searching for something specific, like a hotel room on a certain date. Revenues per member has been decreasing over the past three years as we streamlined and focused our business, but we believe that product enhancements should result over-time in higher revenues per member. Slide 16 highlights how our investment priorities are aligned with these two pillars of our strategy; growth in our audience; and improvements of our products. First, we continued our increased investment in acquisition of new members during the quarter. We added 750,000 in new members and grew our already strong social media presence. We also increased our investments in Asia-Pacific. New members are expected to yield benefits to our business for years to come. Second, we have been working to enhance our products to make them more mobile friendly and easier to use. So that members can search for specific years faster and better. We launched a new responsive Web site most of our U.S. based users, which we plan to roll-out around the globe in the next two quarters. Third, we continue to enhance our hotel platform for the Asia Pacific hotel searches. We’ve doubled the number of hostels on the platform year-over-year, and we communicate to our members more actively that they can find hotels deals when they need them. As you can see on slide 17, our redesigned Web site puts the ability to search for our travels of deals now front and center. Users can search not only by keyword but they can more specifically come to us when they are looking for deals and offers for specific dates or periods. We’re increasing the amount of content in categories beyond hotels, such as vacation packages, cruises and local offers. Hotel search is now fully integrated, but we are planning to terrifically SuperSearch with a better flight search experience. This will reduce SuperSearch revenue for flights and hotels on the new site. User and advertiser feedback on the functionality and the enhanced look and feel of the new site has been positive. On slide 18, I would like to highlight our progress in the area of social media and marketing. We want to get the right deals to our members, in which every form is best for them, whether on their mobile phones or their social network. Social channels, such as Facebook in North America and Europe, Weibo in China, enable us to deliver our content beyond our traditional e-mail delivery. And our members find it fun to share great deals they find from us with their friends. Turning to slide 19, we are proud to be the quality leader in this business. Day after day, our staff-selects, researches, negotiates and validates the very best deals. Whether it's a vacation at the Four Seasons Hotel or dining at the Michelin-Starred restaurant, our focus is always on quality. Our test booking centers ensure that the deals we publish are real and valid, and not just bait-and-switch. We believe that our passionate focus on the very best deals at the very best places drive loyalty in the long run and position us well for long-term success. Let me summarize again our management focus on slide 20. Maintaining and even strengthening our quality content leadership is crucial. We intend to resume top-line growth in multiple ways, via products that make it equally simple for our members to search for offers, as to receive deals that inspire them to take a trip. We also continue to grow the number of people who use us. We see a particularly promising opportunity in the large and fast growing Chinese travel market. But as we invest on both fronts, we would like to remain profitable. This concludes our prepared remarks. Now, back to the operator.
Operator: Thank you. The floor is now open for the questions [Operator Instructions] Thank you. And our first question comes from Ed Woo from Ascendiant Capital. Your line is now open.
Ed Woo: Just a general question in terms of what you see in the travel industry right now in terms of -- and the great impact from Brexit that you’ll be able to continue for next year, and then also just both the North American and Asian travel market?
Holger Bartel: So when European being hit the trend that we spoke about during our last call that Europeans are avoiding certain travel destinations. It decreased a little bit throughout the quarter, and the Brexit actually was rather positive in terms of interest of travellers in going to the UK. So, at the beginning of the third quarter, we saw increased searches for travel to Britain, and indeed for Travelzoo members that we have outside of England, they were looking more for deals to that country. North America, we haven’t really seen any nature new trends, except that I would see in certain cities like New York and other big cities, you start seeing more of an impact of Airbnb on the hotel business, particularly New York. There is now a lot of availability, and we are seeing that hotel rates in the first quarter of 2017 look like they are -- they will be going well on quite a bit. Asia-Pacific, the story also is the same. China, the Chinese travellers look to travel more and more abroad. And I think, we really see that overall travel is becoming more and more global, and this is something we want to pick up on going forward into 2017. I don’t see we have leveraged enough the opportunity of our Travelzoo members in various countries look and find deals in other countries, and that’s something we’re going to focus on more in the future.
Ed Woo: You mentioned more and more impact in the U.S. with Airbnb and possibly rates going down in first quarter, I’m not sure. Do you think Airbnb will have a bigger impact? And I guess are you guys going get more involved in that space. I know some of the bigger OTAs have moved to either acquire [indiscernible] adding more alternative combinations, I am not sure what side. Are you guys going to have a strategy for that?
Holger Bartel: So the impact of Airbnb on hotel is probably more a question for hotels, which you see that hotels come to us and want to promote more aggressive deals in the first quarter in places like New York. And that’s good for us. In our past model of really promoting deals by email and now more with social media, it’s been difficult for us to promote very specific offers for a specific apartment like, Airbnb does. But of course we are thinking about how we can have our members benefit from that trend. And yes there might be in 2017 how we’re going to do that. It’s not something we have really been doing in the past.
Operator: Thank you [Operator Instructions]. I’ll turn the call back now over to Mr. Holger Bartel.
Holger Bartel: Okay, thank you everyone for joining me today, me and Glen for today’s call about the third quarter. And we look forward to speaking with you again next time.